Operator: Welcome to Avangrid's Fourth Quarter and Full Year 2023 Earnings Conference Call. I would now like to turn the call over to Charlotte Ancel, Vice President of Investor Relations. Please go ahead.
Charlotte Ancel: Thank you, Eric and good morning to everyone. Thank you for joining us today to discuss Avangrid's fourth quarter and full year 2023 earnings results. Presenting on the call today are Pedro Azagra, our Chief Executive Officer; and Justin Lagasse, our Chief Financial Officer and Controller. Also joining us today for the question-and-answer part of the call will be Catherine Stempien, President and Chief Executive Officer of Avangrid Networks; and Jose Antonio Miranda, President and Chief Executive Officer of Avangrid Renewables. Other members of the executive team are also joining us today and may be called upon to assist with the Q&A part of the call. If you do not have a copy of our press release or presentation for today's call, they are available on our website at avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995 based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements. If any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release, and the comments made during this conference call in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the SEC, each of which can be found on our website. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Pedro.
Pedro Azagra: Thank you, Charlotte, and good morning everyone. I'm pleased to share with you our company's fourth quarter and full year 2023 results, which demonstrate our strong commitment to delivering sustainable value for our shareholders, customers and communities. Throughout 2023, Avangrid has continued reaching important milestones on its projects, at the forefront of the clean energy transition in the US. Our commitment to operational excellence and long-term value creation remains unwavering. Let's begin on Slide number 4. In 2023, we delivered our financial and operational objectives despite the challenges faced. We achieved an earnings per share of $2.03 and adjusted earnings per share of $2.09 above our outlook range. Year-over-year, we delivered a 19% adjusted earnings growth, excluding $181 million from the 22 offshore wind gain and $37 million from the Inflation Reduction Act upfront tax benefits in 2022. We also delivered on our dividend commitment by paying $1.76 per share in 2023.  Turning to Slide number 5. 2023 has been a transformational year, which will set up the company for the future. We executed on our core businesses and removed legacy and uncertainties. First, despite the highest inflation environment in recent history, we received approvals for $9 billion investments, including multiyear rate case plans in New York and Maine enabling more than $7 billion of regulated investments and an additional $2.3 billion in incremental investments for Climate Leadership and Community Protection Act, or CLCPA Phase 2 authorized by the New York Public Commission. In New York, our NYSEG and RG&E three-year rate case plans were unanimously approved by the Public Service Commission on October 12. The new rate plans have a positive after-tax impact of $136 million, or $0.35 per share was once recognized in the fourth quarter in 2023. This includes $66 million of positive make-whole impact, which put the company in the same position as if the joint proposal settlement was effective May 1 and $70 million for the mitigation of uncollectibles. We also received the approval for the first multiyear rate case for a utility in Maine in 15 years. The Maine Public Utilities Commission approved over $380 million of investments to improve safety, reliability and resiliency. In May, there was also a positive outcome on the referendum on government control power a reflection of the improved dynamics in the state. Voters rejected to propose state ownership of Maine selected utilities with a 70% of the vote. Approximately, 400,000 people voted in the election and 98% of Maine cities and towns rejected this initiative. Also in 2023, CMP was recognized as one of Maine best places to work. These networks achievements occurred in tandem with our operational improvements in customer service and reliability metrics. In 2023, we have improved the majority of customer service metrics 25 out of a total of 31. We also delivered our best reliability performance since 2019 exceeding seven out of eight regulatory targets. On renewables, we successfully terminated our power purchase agreement for Commonwealth Wind and Park City Wind avoiding billions of dollars of potential write-offs. This allows us to maintain future profitable opportunities with these leases. We incurred only $29 million after tax to exit these projects as opposed to our peers' multibillion-dollar write-offs which continue to mount. We are also executing on our disciplined plan for selective and profitable growth in onshore renewables with over 300-megawatt installed capacity in 2023 and 728 megawatts of new FIDs taken this year. We renegotiated three PPA contracts totaling 470 megawatts, increasing prices and avoiding more than $30 million of penalties. In addition, we have another 998 megawatts in new projects under construction all ready to build all of them with PPAs. Notably, approximately 700 megawatts of these projects are to support data centers with clean energy from onshore wind and solar. This year, we also announced our plan to repower more than 4,600 megawatts of our existing portfolio in the coming years, which will represent in our much long-term outlook update. On Vineyard Wind 1, we were making significant progress in the project construction and successfully started the first turbine in 2023. Also in 2023, we closed the first ever US tax equity financing of $1.2 billion and the first funding on that landmark deal has been issued. We also made a strategic decision not to proceed with our PNM Resources merger due to our final regulatory approvals not being received by December 31, 2023. Because of that decision there is no need for an equity issuance previously announced for 2024. During the time of the merger pending, we have secured more than $9 billion additional organic investments above those announced in our 2022 Capital Markets Day. This includes mainly the repowering plant, incremental regulated investments in New York and Maine, and transmission investments like CLCPA. Finally, we are continuing to reach cybersecurity successes from developing the Avangrid team. Regardless of our security, Avangrid score 97 out of 100 from security scorecard, a cyber ratings organization that evaluates threats, vulnerabilities and risk mitigations to over 25,000 companies. This score surpasses average industry figures in network and application security. We achieved substantial gains in our diversity, equity and inclusion goals including reaching our target of over 35% women in executive positions. We want to continue developing our workforce and senior leadership team that reflects the diverse communities that we serve. Turning to slide 6 our 2023 rate cases another regulatory proceedings secured $9 billion in new CapEx. We received final decision on the rate case for our New York companies, which includes over $6 billion of investments. Additionally, we also received authorization to invest more than $2 billion in New York CLCPA Phase 2. These are critical transmission upgrades necessary for New York state to meet its climate action goals. Separately, the Maine Public Utilities Commission approved over approximately $400 million of investments to improve safety, reliability and resiliency. These multiyear rate plans provide predictable organic long-term growth. Moving to slide number 7. We are executing on our strategic plan on growth opportunities and selective investments in our onshore renewable business. Over the past year, we have commissioned 311 megawatts increasing our operating capacity from 8.3 gigawatts last year to 8.6 gigawatts today. In addition, a total of 990 megawatts are at present under construction. This includes 472 megawatts of renegotiated PPAs and 526 megawatts of new PPA signed in 2023. As part of the growing partnership between Avangrid renewables and technology companies, this includes nearly 700 megawatts to support data centers. Turning now to Slide number 7 and number 8, Avangrid continues to be recognized as a leader in sustainability and corporate governance. Most recently, Avangrid was ranked number one in the utility industry category in JUST 100 and number 12 overall. JUST 100 evaluates companies based on the issues that matter most in defining just business behavior today, including paying a fair wage, creating jobs, and supporting workforce retention and training. It is a huge honor to make this prestigious list for the fourth consecutive year and this milestone reflects our values and also our vision. Additionally, Avangrid ranked among the Country's Top 2 Utilities in the National Public Utilities Council’s 2023 Decarbonization report. This report analyzes the decarbonization efforts of the United States largest investor-owned utilities. Avangrid improved from its prior 2022 ranking with the highest possible score in fuel mix total carbon emissions, emissions for customer, and low-carbon investments. Lastly, Central Maine Power was recognized as one of Maine's Best Places to Work by Best Companies Group. With more than 1,100 projects in Maine the CMP team works tirelessly to ensure our customers have safe reliable and clean energy every day as we do in every state where we serve. All these awards and accomplishments are a testament to the dedication of our team, everything we do from serving to our customers to building renewable energy and assets reflects our vision to lead the clean energy transition with a strong commitment to sustainability, community governance, and our employees. Now, I will pass it to Justin to review the results and discuss the outlook. Justin all yours and congratulations to become our CFO.
Justin Lagasse: Thank you, Pedro and good morning everyone. Turning to our earnings performance on Slide 9. For the fourth quarter of 2023, our earnings per share was $1.03 compared to $0.38 in the fourth quarter of 2022 and our adjusted earnings per share was $0.97 compared to $0.39 in the fourth quarter of 2022. Networks results were $0.94, this is higher by $0.53 quarter-over-quarter compared to the fourth quarter of 2022. The key drivers include $0.22 from rate changes, mainly due to the implementation of our new rate plans in New York. This includes a make-whole adjustment back to May 1, 2023. Additionally in New York, uncollectibles explained $0.19 from successfully receiving new regulatory treatment for the deferral of uncollectibles to match the amounts set aside in our uncollectible reserve. With the restart of construction of our NECEC project in August 2023, we had an additional $0.04 of AFUDC earnings quarter-over-quarter. Additionally, we had higher costs quarter-over-quarter to implement our investment plans and to operate our businesses including O&M and interest costs, but they are in line with our estimates for the quarter. Finally, taxes are lower by $0.09 quarter-over-quarter, primarily due to the optimizing of tax deductions, which is in line again with our previously shared estimates for the quarter. Our Renewables segment was minus $0.02 for the fourth quarter of 2023 lower by $0.23 quarter-over-quarter. We had higher earnings from our thermal operations and asset management of $0.07, which reflects wider spark spreads quarter-over-quarter as a result of the demand and supply factors of cold weather and scarcity in the Pacific Northwest. Wind and solar operating performance which includes the impacts of pricing, production, and tax benefits explained minus $0.07, which was really due to lower wind generation output and a decrease in merchant prices. And again partially mitigated by tax credits and new projects in service. Our wind resource was low for the quarter producing a lower net capacity factor. However, it's important to keep in mind that thermal and asset management operations are able to capture this value when power prices are high and gas prices are low. When the wind resource is low in times of high demand due to events like weather, our thermal and asset management capture this opportunity. O&M costs are positive $0.01 due to the optimization of our O&M and cost savings and efficiencies offset by depreciation from new assets in place. Taxes, primarily reflect a reduction compared against 2022 for the quarter, from higher state tax rate adjustments, which again is compensated by state unitary tax adjustments in corporate. Moving on to Slide 10, to update to our financing, liquidity, dividends and credit ratings. During 2023, we have diversified our financing to fund investments in growth of our businesses. For renewable, we signed a tax equity transaction for Vineyard Wind for $1.2 billion to monetize project ITCs and accelerated depreciation. In addition, we executed a tax credit transfer agreement to monetize up to $100 million of tax credits from existing wind assets, not in tax equity financing structures. The tax transferability transaction was very successful for us and we will look to continue executing similar transactions in 2024 and beyond. For our utilities, we issued $1.3 billion of green bonds and $115 million of notes at our utility subsidiaries. And we also issued an $800 million 10-year green term loan with Iberdrola. Our green financing emphasizes our strategy commitment of long-term stability and resilience. Cash and liquidity are key priorities, supported by our ongoing cash from operations and successful rate basis. At the end of 2023, we have $3 billion in liquidity covering 15 months. Maintaining our solid credit ratings is a key objective. At the operating group level, all of our ratings are on stable outlook and we continue to project stable credit metrics without the need for equity issuance in 2024, based on the successful outcomes of our major rate cases in 2023 and our continued discipline and selective growth in our renewables business. Finally, our dividend policy remains unchanged. We are targeting a payout of 65% to 75%. As Pedro mentioned, we delivered on our dividend commitment by paying $1.76 per share in 2023 and our board recently declared a quarterly dividend of $0.44 per share payable on April 1 2024.  Moving now to the next slide. We are introducing our 2024 outlook ranges for earnings per share and adjusted earnings per share of $2.17 to $2.32 per share. On an adjusted earnings per share basis, the midpoint of our outlook for 2024 represents, an 8% increase from 2023. Our ongoing focus remains on achieving these targets, as we execute our investment plan with discipline and a risk management focus. Our 2024 outlook includes incremental revenues from our rate plans primarily in Maine and New York. We target equity ratios and ROEs close to our currently authorized levels. We will also have additional production from 311 megawatts of wind and solar projects placed in service in 2023 including, the related PTCs. For the rest of our fleet, we are assuming normal wind capacity factor. And further, our 2024 outlook also includes earnings using historical averages from our thermal operations and asset management. Bear in mind, as I previously shared, thermal operations and asset management capture the value and wind production is low, effectively acting as a natural hedge to complement our fleet. We remind you that in 2023, we received favorable regulatory treatment to remove earnings exposure from uncollectibles by allowing us to defer our reserve balances. Specifically in New York and therefore, have this assumption included in our forecast. Our NECEC transmission project is also expected to generate additional earnings while under construction for AFUDC, and we are expecting additional CapEx spending of over $600 million in 2024 to consider this. We are also anticipating O&M optimization and higher depreciation and interest costs. Finally, there is no assumed equity issuance in 2024 and no extraordinary gains from renewable partnerships or divestitures in 2024, as we previously committed. Our 2024 outlook assumes that we maintain our current annual dividend of $1.76 per share subject to our Board's approval. Typical with our opportunities and risks impacting our 2024 results, we have our renewables production and pricing. We have our rate cases and other regulatory actions, storms and weather-related events, thermal and asset management results, interest and business costs. As we have mentioned, we are very focused on delivering our results in 2024, considering many uncertainties were removed in 2023. Thank you for joining us today for our financial update. I will now hand the call back to Pedro.
Pedro Azagra: Thank you, Justin. We move to Page 12, I think it's important now to think a little bit about 2024, okay? And where are we focused in terms of priorities for the year. First, we're going to be focused on continuing to deliver results through demonstrating on a strong financial performance, on the core earnings and the core business. Second, we will execute our commitments in the multiyear rate plans that drove our success in 2023 including achieving our ROEs that Justin mentioned. Next we will continue selective and profitable onshore growth. Turning to major projects. We will continue the steady process – progress in constructing Vineyard Wind 1 and NECEC. We will remain focused on our balance sheet to ensure the financial health and long-term stability of the company and aim to close out the ongoing matters in Connecticut. In the last slide, Slide number 13, I would like to thank our Board and Chairman Galán and the rest of our Avangrid team but also all the Iberdrola Group that without them we will not be here and they have successfully helped us in many, many of the things that we have been able to achieve this year. We look forward to continuing to execute on our commitments, focusing our balance sheet and delivering results in 2024. We are excited to announce that Avangrid will be holding a long-term outlook update via webcast on Thursday March, 21. This will include an update on our multiyear strategic plan and financial outlook provided by members of the executive team. I will now hand the call back to our operator for further questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] Your first question comes from the line of David Arcaro with Morgan Stanley. Please go ahead.
David Arcaro: Hey, good morning. Thanks very much for taking my questions. Let's see, I was wondering can we get an update just on how you're thinking about asset sales? That's a financing approach that you've talked about before but I think the financing outlook has obviously changed quite a bit now heading into 2024. So how strategic would you be or opportunistic on asset sales?
Pedro Azagra: I think the approaches it has not changed. I mean we're always keeping an eye on potential divestitures, potential partnerships. I mean since 2001, we've been doing that at the Iberdrola Group level non-stop. You can see the last two years, how many partnerships and divestitures have been done as well. And in our case, if we have further opportunities to grow beyond what we'll be announcing in March – in the March's long-term presentation, we will continue to look for partnerships in order to dilute our financial exposure and be able to do even more. So that's not out of the table but we want to focus on a budget for 2024 and the guidance we have provided without any gain or any divestiture being contemplated. That's why I think we go back to how we always have announced guidance, which is focusing on the core business without gains. But we will continue analyzing partnerships we will continue analyzing opportunities of divestitures, at the right price and at the right time even strategically we think that's something we should do. So that doesn't stop that approach as well.
David Arcaro: Okay. Got it. That makes sense. That's helpful. And maybe a similar question just with PNM in the rearview now, you have been acquisitive in the past. How are you thinking about M&A, as you look forward any interest in continuing to consider M&A opportunities going forward?
Pedro Azagra: I think as we have done on Iberdrola for many years, there are moments in the cycles that when you have such a huge amount of organic growth, I think that's enough. I mean I think the $9 billion investment above what we already told you 1.5 years ago I mean that's a lot, okay? That's twice the size of a couple of 4 billion equity market cap company acquisitions. So from that point of view when you already have now the $7 billion investment, now you have $9 billion more. Seems to me that let's focus on that organic growth. I don't see that much growth in many parts of the world, in many parts of the US, from a regulated point of view. I don't see -- I see a huge opportunity for them up to 2023 on the repowering side. So we have nice eight years ahead of us to benefit from that. It seems to me when you have the next three to five to six years with multibillion investments that we didn't have even 1.5 years ago on the table, I think let's focus on that, okay? So let's get that done and then we'll go for further opportunities. When some of you asked about the consumption growth et cetera in some of the states, you all know that the states where we do business there is an absolute need of infrastructure upgrade. So consumption is second. Consumption may be an issue 10 years from now, 15 years from now. But now you need to upgrade those networks and that's why the infrastructure needs that we have in New York, the infrastructure need that we have in Maine. That seems to me together with the repowering just that I think is unbelievable huge for the years to come.
David Arcaro: Okay. Great. Thanks so much for the color. I appreciate it.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Bank of America. Please go ahead.
Julien Dumoulin-Smith: Hey, good morning, team. Thank you very much for your time. I appreciate it. Just wanted to follow up on a couple of items here in the release and your comments here if you can. Just first, on the near term here. Just how are you thinking about some of the items in 2024 specifically the Vineyard Wind still the and specifically the ITCs or presumably some amount of ITCs reflected in 2024 as well as just can you comment year-end 2023 rate base came in at $600 million above original guidance. It seems like it's split out between New York and Maine. Can you comment a little bit about those factors as they pertain to 2024? And then lastly, just how much O&M are you thinking about here when it comes to a positive driver in 2024 as well? Thank you guys.
Pedro Azagra: Okay. Thank you, Julien. We couldn't hear that well, but I'm going to try to answer the question. I think in terms of Vineyard Wind 1, I think -- okay. Can you hear me well?
Julien Dumoulin-Smith: Yeah.
Pedro Azagra: Okay. Perfect. So when you think about Vineyard Wind 1, what we have learned in the last 12 months is our focus sometimes on specific deadlines which are not so relevant. When you're doing these big projects NECEC is another example. If you're going to have COD in November of a year or February the following year is totally relevant. The important thing is to finish the project. I think in Vineyard Wind 1, right now we have turned turbines installed, as of today, which is beautiful out of 62, five of them in full operation right now 62 megawatts. So that's a beautiful also outcome exactly today. I mean you will see -- probably you have already seen in a press release by the governor in Massachusetts, very proud of the status right now we have in the projects. I think we have 48 -- 47 monopiles installed. I think we are on track right now for further transition pieces installment. I think we have the right contracts to terminate everything we need from vessels foundations monopiles transition pieces blades in turbines. So from that point of view, what we need to do is finish the project. And for me, it doesn't matter if we finish in November this year or in February next year. The important thing is to finish. ITC, as you correctly said is important. That's what we are working on right now to find out exactly the final amount of ITCs that we think that we will be able to achieve. And then as soon as we finish that work, we'll come back to you. In terms of the rate cases, I think specifically and you were concerned 1.5 years ago, rightly so and a year ago about the inflation potential impact in the rate cases and how very few people -- nobody thought we were going to have more than a very low single-digit rate increases. I think I'm very pleased about the leadership in Maine, both in the administration in the public commission and the staff both the leadership the commissions as well also the staff in the Public Commission. I'm very pleased about the leadership in New York and the administration in the Public Commission of the senior staff, staff and commissions level. Because as you can see right now that they have a vision that infrastructure is needed, but also you need to pay for the infrastructure. This is something that comes together and sometimes when the policy becomes okay, you don't want to pay right now and you will pay you don't know when, but just still one investments it doesn't work, okay? So you have right now the right leadership in the States, because that infrastructure is needed. You want data centers you need infrastructure. You want additional capacity. You need investments in the infrastructure. So I think the road map especially in New York of course as well in Maine, it's clear for the years to come is in the right direction to get those networks upgraded to the right level. And that's why we are very comfortable on the organic growth and the investments needed in those states to continue. I think the last one you said about the several things going on in 2024, we'll be more specific in our March presentation. But I think the key highlights, as I think we have been mentioned right now is we need to be either at or very close to the authorized ROEs. That is something that that's a legacy for many, many years. I think sometimes you are over earning, sometimes you have an explanation. But I think right now, with the work in rate cases, especially when you have New York, you have the Maine, you have the referred regulated assets, you have more than 80% of our rate base. And with investments, we're currently going to be doing in the years to come in New York for example, that's going to be, those group of assets more than 90%. So Connecticut is going to become a very small part of our business. So I think when you focus on those ones, I think the ROEs achievement is a must. I think we are absolutely on track. If I move to the two projects that you mentioned, you mentioned Vineyard, but I would like to add NECEC is must to us to make those projects profitable. I think we're working on NECEC on the change of low cost at close, but we have the right in the PPA. And I think in Vineyard, we just mentioned right now ITCs and finishing the work is our priority for the rest of the year. And I think in renewables, let's just say focus. For two years right now, we have been able to deliver the budget in renewables selling networks that's a must. I think predictability and delivery in the underlying earnings with no gains or anything like that is going to be our priority now for 2 years in a row. And I think we are delivering double digit in both years in the underlying growth. So that's a priority to continue delivering on our internal budgets. So I think that the focus is that one, to focus. And I would like also to remind remember the other items we also mentioned, we're very proud of being a very green company. We're very proud of our ESG commitments. Even in times that seems not to be on top of the list, we believe there is no come back. That's why very proud about our diversity, inclusion parity, objectives being achieved and to continue with that to make sure that our team reflects a society where we were. And by the way, we're focused on shareholders. I think the risk aversion that you know we have. We do not dare to take difficult decisions. And in the same way that we presented rate cases that very few thoughts we were going to be successful. We also took the decision not to initiate some projects that otherwise, we'll be here with a huge mess. And to avoid capital increases because of our mess, in our case, there was a capital increase because of a transaction, well, we have avoided that. But I think we have avoided to be now here in front of you with a huge onetime loss that otherwise would have happened. So I think the team is taking difficult decision, but the right ones, not only for us, for us, for the shareholders, for the banks, for the lenders, for the bondholders, for the society, for the leadership in the state, and we're going to continue doing so.
Julien Dumoulin-Smith: Excellent. Thank you, Pedro. Is there a specific range that you're thinking about those ITCs. Just to go back to Vineyard, the Vineyard question. And then separately, when you think about the long term that you're going to be providing next month, how many years forward are you thinking about rolling forward? And is there a potential to raise that dividend at last as part of the bigger long-term outlook or at least address the dividend?
Pedro Azagra: I think on the first one, I think we are comfortable. We have secured 30% of the ITCs. I think we're working right now on the opportunities we have on the IRA to seek some additional ITCs. That's why we need to finish the work. And in terms of dividends, I would like to say that the dividend we have maintained is very strong. And when you see the underlying growth of our earnings, the complementation -- to have such a nice dividend to be complemented with such a nice growth in our earnings, I think that's the right story, okay? And especially, if you have interest rates right now on the way down, as opposed to the way up, I think that should deliver in terms of value creation. So I think we'd like to stay there. But again, that's subject to the Board to take the decisions.
Julien Dumoulin-Smith: All right. Team, thank you very much.
Pedro Azagra: Thank you.
Operator: Your next question comes from the line of Anthony Crowdell with Mizuho Securities. Please go ahead.
Anthony Crowdell: Hey, good morning, team. Just hopefully, a couple of cleanup questions. I'm just wondering if you're able to disclose what AFUDC rate you're assuming in 2024 for the NECEC line?
Justin Lagasse: Yes, we can disclose that. So that's at 8.5%, which again is a publicly filed document as well as part of the NECEC stipulation agreement, so that's a public document, but that is the rate that we're using for AFUDC.
Anthony Crowdell: Great. And then, I appreciate the slide 6, you gave a nice breakout of the jurisdictions and I know Connecticut is only 19%. So, it's a smaller jurisdiction for you. But I think there's two very small rate cases going on in Connecticut right now. Staff had recently recommended maybe a rate decrease. Just curious if you could comment on just interactions with the Connecticut regulatory environment, and also ability to maybe deploy capital from Connecticut into the other jurisdictions?
Pedro Azagra: I think we have made it clear. Connecticut, it was very disappointing the rate case. You know, we are in litigation right now in appeal in different fronts. I think we're very happy with the leadership in the state, the governor instructing everybody to work together. I think even some of the legislature right now are actually requesting also everybody to work together. We've been saying so for a long time. And again, even if it's a small part of our business we hear about that. That's why we are defending our employees, so we are defending our unions, we're defending our investment. And I think the only thing we can do here is to continue being on top of it. I think those -- that rate case that you mentioned the case, we believe we have presented a very strong case and I think we're going to argue that until the very end. So from that point of view, I think we just need to continue as always to be very professional very transparent. This is not personal. We never make any comments about any person in particular, but we defend the results of the company the investments, because otherwise what is in danger is reliability in the medium-term of the company. So we've seen this many, many times in our experience in many other places where a similar approach was taken. So from that point of view, the only thing we can continue to put our case very legally and to request that people comply with law. And that's a fundamental key criteria when you do investments and when investors and banks and bondholders invest, which is compliance with law. And if law is going to be changed, which may be okay, that's why you have a stranded cost and you have many ways to do that. But what is not acceptable is to change in the middle of rate cases or suddenly what has been already the case and the way things have been done for many years in accordance with law. That's why we will continue to litigate as needed. But we think that the words recently by the governor requesting to work together and to have conversations even with the legislature as soon as two days ago. That seems to me the right direction, because there is nothing to hide here, okay? And you see how supply rate increases are out of control. I think you see how decisions by legislature affect also the rates. And in our case, the UI rates were not increased for seven years. So I think we have a very strong case that we can defend and we are doing so. And we are a very important employer in the state. We are doing a lot of economic development. And the most important thing here is to comply with law and to deliver what we have to do.
Anthony Crowdell: Great. And just if I could squeeze one last one. I think Julien touched on it. I may have missed the response. Just when you provide a longer-term guidance range or an EPS growth rate on the call on -- in March, are you able to disclose now how far out you're going to go to? Is it 2026, 2027 or you're not willing to state that right now?
Pedro Azagra: No. I think at least we will go to 2025, what we're considering right now is whether we will also mention 2026, okay? So, that is what...
Anthony Crowdell: Great. Thank you for taking my questions.
Pedro Azagra: Yes. Thank you.
Operator: Your next question comes from the line of Michael Sullivan with Wolfe. Please go ahead.
Michael Sullivan: Hey. Good morning. Just following-up on how to think about the time line of the financial outlook at the Investor Day, is it fair to think of this 2024 guide as a clean base to guide long-term growth off of?
Pedro Azagra: Yes. I think that we started July last year. I think we heard so many times that why to give guidance with including gains, et cetera, that back in July we already decided that we were going with and without the gain. So that was the first time we communicated also in October. And now as you can see we continue that trend. So we want to be very simple year-to-year. And in this case this year, we're not -- for that proposal of operating we're not considering any gains. There was to be any gains, because there was to be any transactions so be it. But I think the guidance is without any gains. So I think the answer is yes. I think the guidance we're proposing right now, we started back in July is that way.
Michael Sullivan: Okay. Great. And then can you just comment on where FFO to debt finished for 2023 and what you target on that?
Justin Lagasse: Sorry, can you clarify are you asking where the debt position ended? Is that what you asked?
Michael Sullivan: FFO to debt.
Justin Lagasse: Yes. So FFO to debt obviously this is a key priority for us from a financing point of view. Keep in mind as we said 2023 was quite a transition year for us with the closing of the rate cases in particular New York finalized in October. And ultimately, we saw the results from there. So from -- and in addition to that we also have the NECEC project and the Vineyard Wind one project with high CapEx that we have that do not have cash flow yet. So from an FFO to debt from 2023, if you pro forma those adjustments you're looking somewhere around 14%. However, keeping in mind these caveats that we have. So I think from there we want to build from that point forward. I think we have had very successful rate cases that have been focused on cash which will improve our FFO. And so really looking towards the next couple of years of improving those and getting the metrics back to the levels that we would expect and are showing the growth that we are anticipating here.
Michael Sullivan: Okay. Very helpful. And then one last quick one. I think someone asked, but I'm not sure I caught the answer. The O&M optimization in '24, can you quantify what that is? And whether you see potential to do even more beyond that?
Justin Lagasse: Yes. So for O&M, I think two comments to make there. One, as Pedro mentioned for our -- reaching our authorized ROEs that embeds in it achieving certain efficiencies that we have. For example we have AMI in New York that we're looking at, as well as other technology advancements that we have whether it be in our IT space or otherwise. So again I think the key priority for us when we consider O&M is trying to be at a rate lower than inflation. So that's what we target for our O&M efficiencies and just looking at all avenues that we're able to do that. On the renewables side, it's more based off of process and prioritization of tasks for example, so looking at really doing O&M that provide a production uplift or an earnings uplift from that point of view, so keeping that priority. So I think that's really what we look at. I think we'll come back to you with more detail at our Investor Day in a month from now with more specificity around that and what we target. But these are some of the general themes that we're looking at particularly in '24 and beyond.
Michael Sullivan: Okay. Very helpful. Thanks for all the color.
Operator: The next question comes from the line of Angie Storozynski with Seaport Research Partners. Please go ahead.
Angie Storozynski: Thank you. So, first on the wind repowering I understand that you're going to talk about it at length during the Analyst Day. But I'm just wondering, so you mentioned obviously attractive returns, but we're also hearing that older wind assets are starting to see some diminished profitability from a cash perspective because of higher OpEx and CapEx. And I'm just wondering if this plan the repowering is driven by basically an attempt to retain the current earnings power of these assets or if there's a true cash benefit associated with that?
Pedro Azagra: The answer is yes to both. I think when you see the accounting path of assets in -- of renewable assets in the US, because of makers accelerated depreciation, ITC, there are many, many explanations. I think in the last part of the year those earnings are negative. It's not that you lose value. It's just the way it is. So from an earnings point of view and cash flow point of view, the answer is 100% yes. That's one of the main reasons why repowering is very, very important and we are lucky that we have now an own fleet that allow us to do such a material amount of repowering.
Angie Storozynski: Okay. But there's also this earnings benefit right associated with the sale of the tax credits and how that basically trickles into earnings. And I'm just wondering, if -- again, that's the main driver of those repowering? Or is it that -- again, there's like a true cash or value creation benefit associated with those repowering?
Pedro Azagra: I think you have a financial reason and an industrial reason. I mean the industrial reason is we continue to have customers that they want to have extended PPAs. As you can see, they are renegotiating PPAs. And the feedback we have for most of the assets, we're going to consider repowering is that, they would love to expand and have new PPAs et cetera. So from that point of view, there is a need from the customer side and there is an opportunity for us to have new assets. From a financial point of view, it's clear, that when you have these types of assets after 15, 18 years you have an issue in the P&L. And therefore, cash flow is different, because you have already got the cash flow back because of other reasons. But I think when you have the opportunity to create a new asset and that asset you can invest from a CapEx point of view much less than a new asset. You're going to have an increase on production. That probably is going to be 30% increase at least, versus the old asset. And you can have an enhancement in O&M and PTCs for 100% of the production, not just from the incremental production seems to me that that's a no-brainer, okay? So that's why the combination of all those things is why we need to go ahead with the repowering. Again it's a very long period of time. And we're going to be very opportunistic. Think about when is the right moment from a cash flow point of view, from a P&L point of view, from an investment point of view, debt point of view but the plan is there.
Angie Storozynski: Okay. And then just moving on to offshore wind, so Iberdrola and Kitty Hawk and then we had these two updates from Eversource and Dominion about their offshore wind transactions. So we have some price points, I guess for these assets. I mean do you think that that impacts the probability of the sale of your stake on Hitty Hawk -- Kitty Hawk, I am sorry -- and how again, if there's like a viewpoint based on these data points that you have on offshore wind in the US.
Pedro Azagra: I think the good thing about those data points is that, if you remember many of you asked quite often well there is no body interested in offshore. And we told very often, I'm sure there is not -- the long lease you had two years ago three years ago but the interest continues to be there. I think it's good to have people interested in offshore. I -- we do not know the details of all those other transactions. I think Dominion transaction that's our regulated asset. So that's a different animal. And I think in the case of the Eversource based on public information, I think the acquirer is being guaranteed some type of return, okay? That's not our case. I mean why speaking about the lease, okay? And the lease market as you know they were in an auction in California and very successfully in the middle of all the Ukraine et cetera et cetera. So that's why you're -- it's not really comparable. In the other cases it's really assets that are being built right now developed and is multibillion type of approach. I think the case is a lease. I think we will continue to seek opportunities to sell the lease to do a partnership in the lease, as we do in many other assets. Last year, we sold several assets in the onshore renewable business. Some projects we didn't want to do and we thought it was better to sell them. So we never stopped. But I don't think to sell a lease is comparable to those deals. And again, this is not an asset that we have a CapEx deviation or we have a write-off or we have to do something it's a different animal compared to those.
Angie Storozynski: Okay. And then lastly on NECEC, so if you could provide an update on the construction process and also how comfortable you feel spending the money given that NextEra continues to challenge the circuit breaker upgrade at Seabrook?
Pedro Azagra: I will let Catherine, to answer on the construction progress. I think our focus there is very simple. It's first, on the change of law that's a priority for us this year to make sure that we get that finalized. And second on NextEra seems to me that NextEra there is a change of leadership. I think the way they behaved in Maine in my opinion at the end is the right one. And I think you've seen some news there on other matters things that were happening in Maine. So the Seabrook I think we're working with them. I think we're very close to having a schedule on the breaker the issue that you have -- they have to solve. And I'm sure they will get that done okay? So -- but I think Catherine, if you want to comment on the construction?
Catherine Stempien: Yeah. Sure. Thanks Pedro. So we're doing really well on construction on NECEC. We have 25% of our foundations have been set and 20% of our poles. We've already started stringing conductor actually on the corridor. We've also been doing substantial construction laying the foundation for our HVDC converter station and for the stack comp. And we've really been able to benefit from the power of Iberdrola in the supply chain by being able to negotiate really good contracts for most of our vendors including with Hitachi for the STATCOM and HVDC converter as well as a lot of our civil engineering works and the other work that needs to be done on the site. So we're really pleased with the progress right now and we continue full speed ahead.
Angie Storozynski: Great. Thank you.
Operator: I will now turn the call back over to, Pedro Azagra. Please go ahead.
Pedro Azagra: Okay. So thank you to everybody. A pleasure to have spoken with all of you, I think we're going to follow up on one-on-ones now with each of you and looking forward to seeing you in the upcoming days and weeks. Thank you very much.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. And you may now disconnect your lines.